Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Magic Software Enterprises Ltd. 2018 Fourth Quarter and Full Year Financial Results Conference Call. At this time, all participants are in a listen-only mode. [Operator Instructions] With us on-line today are Magic’s CEO, Mr. Guy Bernstein; Magic’s CFO, Mr. Asaf Berenstin; Magic’s VP of Technology and Innovation, Mr. Yuval Lavi; and Magic’s VP, M&A and General Counsel, Mr. Amit Birk. I would now like to turn the conference over to Mr. Amit Birk of Magic Software. Please go ahead.
Amit Birk: Thank you, and good day, everyone. Our quarterly earnings release was issued before the markets opened this morning, and it has been posted on the company’s website at www.magicsoftware.com. Before we start, I would like to remind everyone that this conference call may contain projections or other forward-looking statements. The safe harbor provision provided in the press release issued today also applies to the content of this call. Magic expressly disclaims any obligation to update or revise any of these forward-looking statements, whether because of future events, new information, a change in its views or expectations, or otherwise. Also, during the course of today’s call, we will refer to non-GAAP financial measures. A reconciliation schedule showing GAAP versus non-GAAP results has been provided in the press release issued before the market opened this morning. A replay of this call will be available after the call on our Investor Relations section of the company’s website. I will now turn the conference over to Mr. Guy Bernstein, CEO of Magic Software. Please go ahead.
Guy Bernstein: Good morning, everyone, and thank you for joining us today as we report our fourth quarter and full-year 2018 financial results. I am very pleased with the result of our fourth quarter and the year as a whole as we continue to experience consistent year-over-year growth and an increased level of profit. We are clear that we exceeded our full-year revenue guidance delivering nine-year consecutive all-time high annual revenues of 284 million, which reflected 10% year-over-year growth consistent with the increase in our non-GAAP operating income of 12% to 39.5 million for the year. We had a productive fourth quarter with revenue reaching 72.3 million, reflecting 9% year-over-year growth and operating profit, including 15% to 10 million. Asaf will provide more details on our financial results in his prepared remarks. The strength of our performance in the quarter and throughout the year was broad based with all of our major regions and markets producing solid organic growth as evidenced by the trust given to us by more than 250 new logos, who joined during the year. We continue to strengthen our competitive advantages with the development of products and solutions, while learning new customers and expanding our business with existing customers allowing us to build on our strong foundation and achieve ongoing growth. So, overall, I’m very pleased with our strong finish to 2018 in closing down the year with another quarter of improved growth achieved by maintaining our focus and executing on our key objectives. Now, I would like to turn the call over to Asaf, our Chief Financial Officer to discuss the financial results in more detail. Asaf?
Asaf Berenstin: Thank you, Guy, and good morning everyone. I will begin my commentary with a review of the fourth and full-year results. After which I will provide some commentary on the balance sheet and end with our 2019 annual guidance, which we introduced in our press release earlier today. Our first quarter revenues totaled $72.3 million, compared to 66.2 million for the fourth quarter last year, reflecting 9% year-over-year growth, mainly driven by our organic expansion. Looking at the geographical breakdown of the year, revenue North America totaled [$127.1 million], representing 48% of our total revenues, included by 11.3% compared to last year. The revenue in Israel totaled 103.9 million, representing 37% of our total revenues increased 12.8%, compared to last year. Revenues in Europe totaled $28.3 million for the year representing 10% of our total revenues, increased 6.7%, compared to last year. Revenues from the rest of the world declined from 16.5 million to 16.2 million compared to last year, mainly due to a termination of a product initiated in Africa last year for deploying a proprietary billing system. Turning now to profitability, our non-GAAP gross profit for the fourth quarter of 2019 was 23.4 million, up approximately 4%, compared to 22.6 million in the fourth quarter of last year. Non-GAAP gross margin decreased to 32.4%, compared to 34.1% in the fourth quarter of last year. On an annual basis, our non-GAAP gross profit for 2018 amounted to 94.4 million, up approximately 6%, compared to 89 million in 2017. Non-GAAP gross margin decreased to 33.2%, compared to 34.5% in 2017 as a whole. The continuous decrease in our gross margin compared to the respective period – respectively resulted mainly from the shift in our revenue mix from software towards professional services. The breakdown of our revenue mix for the fourth quarter of 2018 and for the year was approximately 28% related to our software solutions, and 72% related to our professional services, compared to 30% related to our software solutions and 70% related to our professional services in 2017 as a whole. Looking at the entire year, our revenues related to software solutions amounted to $80.1 million, reflecting approximately 4% year-over-year growth. And our revenues related to professional services amounted to 204.3 million, reflecting approximately 13% year-over-year growth. Moving to operational cost, R&D expenses on a non-GAAP basis in the fourth quarter of 2018 totaled 2.3 million, compared to 2.6 million in the same quarter of last year. R&D expenses for the year totaled 9.4 million, compared to 10.7 million in 2017. The decrease in R&D expense is due to a shift of development projects to our offshore site in India and St. Petersburg and to a cost reduction program we implemented in one of our vertical application software solution unit. Our non-GAAP operating income for the fourth quarter increased 15% to $10 million, compared to 8.7 million in the same period last year. This reflects an operating margin of 13.9% for this quarter, compared to 13.1% in the fourth quarter of 2017, and compared to 13.8% in the third quarter of 2018. Our annual non-GAAP operating income increased 12% to 39.5 million, compared to 35.1 million in 2017. This reflects an operating margin of 13.9%, compared to 13.6% in 2017 as a whole. Our non-GAAP tax expenses this quarter totaled 2.1 million, compared to a tax expense of 1.9 million in the fourth quarter of 2017. Looking at the year, our non-GAAP tax expenses totaled [27.5 million], representing an effective tax rate of approximately 19%, compared to a tax expense of 7.1 million in 2017, reflecting an effective tax rate of 21%. The main reason for the decrease in our tax rate is due to U.S. corporate tax reform, which reduces our blended taxes. We expect our 2019 tax rate to be slightly higher in the range of 20% to 23%. Our non-GAAP net income for the first quarter increased 21% to 5.8 million or $0.12 of fully diluted share, compared to 4.8 million or $0.11 per fully diluted share in the same period last year. The increase in our net income is consistent with the increase in our revenue and operating profit. Our EPS for the quarter was negatively impacted by an amount of $0.01 per fully diluted share resulting from the issuance of 4.3 million shares at the price of [$0.82] per share in private placement for net profit of approximately $35.5 million [indiscernible] institutional investors and to [indiscernible] controlling shareholder during the third quarter of 2018. Turning now to the balance sheet. As of December 31, 2018, we had cash and cash equivalents, short- and long-term bank deposit and marketable securities of $115.6 million, compared to approximately 19.9 million at the end of 2017. Our strong cash position and improved profitability enable us to maintain our dividend policy and to declare a cash dividend in the amount of $0.15 per share and in the aggregate amount of approximately 7.3 million for the second half of 2018, reflecting 75% of our annual net income attributable to the Magic shareholders. Together with the dividend distributed for the first half of 2018, we distributed an annual total of [$0.305] per share related to our 2018 earnings and in the aggregate amount of approximately 14.9 million, which has led to common dividend yield of approximately 3.3%. Our total financial debt as of December 31, 2018 amounted to 28 million, compared to 37.6 million at the end of 2017. During the year, we paid an amount of 7.1 million. The remaining of our debt will be paid over the next five years. Total trade receivables as of December 31 was 90.3 million, compared to 82.1 million in 2017, reflecting no change in our DSO, which approximately is 90 days. The increase in trade receivable is in-line with a 10% growth reported in our revenues year-over-year. From a cash flow perspective, we generated 3.8 million from operating activity in the million from operating activities in the fourth quarter compared to 24.1 million in the same period last year and 24.1 million for the year, compared to 45.5 million in 2017. Last, returning to our 2019 guidance, we expect 2019 full-year revenue to be in the range of 330 million to 390 million on a constant currency basis, reflecting an annual growth as of 10% to 12%, maintaining our double-digit growth recorded over the last years. With that, I will turn the call back to Guy for closing comments.
Guy Bernstein: Thank you, Asaf. In summary, we are pleased once again to report record breaking results based on organic growth reflecting the solid demand for our software solutions and professional services, which serve to help our customers on the digital transformation journey. We continue working towards building closer client relationship, investing in-house relationships, and building strong foundation for growth, and we expect a strong financial position coupled with the investment we made over the past few years to promote and grow our markets and continue our momentum into 2019. With that, I will now turn the call over to the operator for questions.
Operator: Thank you. [Operator Instructions] The first question is from Tavy Rosner of Barclays. Please go ahead.
Chris Reimer: Hi, this is Chris Reimer on for Tavy. Thank you for taking my questions. My first one regarding guidance for the year 2019, in-light of 2018, which came in at the low end of guidance, which was between 10 and 14, I’m just wondering if there was anything from this year that was maybe pushed out into 2019?
Asaf Berenstin: I can’t say that. I think that we – for example, if I take one of our largest customers CVS, which is undergoing the measured transaction with Aetna, so that is I think one of the reasons why we didn’t manage to – let’s say meet the higher end of our guidance. We finished some of the projects there and we believe that we should expect renewal in the beginning of 2019 and even to get more business out of them. And other than that, I don’t think that we had any significant businesses that were shifted from 2018 to 2019.
Chris Reimer: Great, thank you. And then just regarding M&A, you mentioned on the previous earnings call that hopefully a deal might be closed at the beginning of 2019. Could you give any comment as to how that might be progressing or what the outlook might be for the near future?
Guy Bernstein: Well, if I remember, we mentioned at the time that we raised from money in order – basically to support a deal. This deal was – we thought it was canceled. Now, it’s back on the table. Hopefully, we’ll hear some news in the coming month or two.
Chris Reimer: Okay, thank you very much.
Operator: The next question is from Maggie Nolan of William Blair. Please go ahead.
Ted Starck-King: Hi, this is Ted Starck-King on for Maggie Nolan. Thanks for taking our question. So, during the quarter, you announced that you’d achieved the Gold status with Microsoft, which means you’re no – which means you’re eligible for Azure development planning services, sponsored credit, and other benefits. Could you discuss the opportunities and benefits that that opens up you’re your business? Have you seen any traction as a result? If not, when do you anticipate to see some additional traction there? Thanks.
Guy Bernstein: Yes, we see some movement in the Microsoft eco-system and partners. Again, the partnership – the Gold partnership with Microsoft is a happy opportunity for us, but we mainly work on the partnership relationship with the Microsoft partner with ONE Alliance program that they have, and this is opening a lot of opportunities for us worldwide, especially in the U.S. and Europe, and we are pushing more and more processes and work in deployment towards the Azure cloud to step-up in the level of partnership and to be focused by Microsoft as a partner. And, yes, I cannot say at the moment, no, the transition that we’ve made to the specific deal, but we do see a lot of action coming on from the market and from the Microsoft partner as you said.
Ted Starck-King: Very good. So next question is just on guidance, how much do you anticipate from foreign currency on a top line?
Guy Bernstein: Again, how much…?
Asaf Berenstin: I don’t think that it is material in the – let’s say, in the current level of the fluctuations, let’s say in currencies, we are currently at the level of $3.6 per share for let’s say nominated shekel businesses, this is pretty much the same average that we experienced in 2018 on average. So, on that aspect we don’t, we don’t expect any negative or positive impact on the topline, or on the bottom line.
Ted Starck-King: Understood. So, last question from me. On the previous call you mentioned success with low-code application software platforms? Could you provide an update on your traction with low-code platforms? How much your current software revenue is from low-code? How much do you anticipate, and how do you expect that will impact the competitive environment?
Asaf Berenstin: So, basically, I would say that we have roughly $80 million of business in terms of turnovers coming from software activity. Out of that around 9% – or 85% to 90% are related to our low-code activity. I think that the market today is in a very accepted mode back to the low-code model of development for application. The reason is that the pace that enterprises are required to develop new enterprise application is rapidly growing and their generic coding or job hiring professional services to produce more application and something that just doesn’t keep the pace for enterprise demand for new applications. You can see a testament for that also in the Forrester and the Gartner market analysis, which anticipate this market, this local market to grow for a point level or $4 billion in terms of market size to over $20 billion or $22 billion in the next five years, reflecting over 30% CAGR growth on average. So, I think that we are today with our technology and perhaps with potential new acquisitions that we may do in the future is something that we are always looking for – looking to do, we’ll manage to get to the top of this positive reaction in the market.
Ted Starck-King: Understood. Thank you.
Operator: The next question is from Kevin Dede of H.C. Wainwright. Please go ahead.
Kevin Dede: Thanks. Hi, guys. Thanks for taking my call. Asaf, Guy could you just talk to the debt level? I know you took on a bunch about two years ago, I thought the – I thought the thinking was – the strategic thinking was use it for acquisitions. And Granted you've got – hopefully you’ll one wants to talk about the next couple of months. But I’m just kind of wondering what the overall plan is at this point. I think I heard a soft talk about repaying this debt over the next five years, so could you just kind of give me sort of the top down view of how you’re thinking about that?
Asaf Berenstin: Basically, when we originally took this debt two years ago, it was to finance – typically to finance a transaction that we did for the acquisition of Roshtov. And we also – let's say, I also wanted to take the advantage and kind of create ongoing relations with institutions, to open the channel, so when – it will lead to raise the additional debt. We have some kind of a mechanism or credit history with the financial institution. So, we took certain amount of loan, which was for payment on an equally annual employment of seven years. What you see now in our balance sheet is basically the remaining of that loan and we continue to – let’s say, to keep track of that. Our EBITDA-to-debt ratio is below, is around 0.6, 0.5 of our profit. So, I think that the company has lost really leverage. I think we are in [indiscernible] once the M&A may keep backing again, you know, we will be able to facilitate on that bridge.
Kevin Dede: Okay, alright. So, the idea though is that – as you said on the call to pay off completely within that seven-year term over the next five years?
Asaf Berenstin: Yes.
Kevin Dede: Okay, alright. And then, I mean, I guess…
Asaf Berenstin: You need to take into account – Kevin, you need to take into account that Magic has a – let’s say, a business model to grow 50% from organic activity, 50% from M&A. We are distributing 75% of our net income, which is roughly 50% of our operating cash flows, so that would mean that for future acquisitions, we will probably – again, once we take off some of our excess cash that will flow into our balance sheet, we will need to turn to additional debt to finance those acquisitions.
Kevin Dede: Right. I – sure. If I understand and I also – you know, obviously you are able to issue shares if you need to as you did in the third quarter. I’m wondering if you guys could talk a little bit to the 200 plus logos that you've added? I mean, I've been watching guys for a bunch of years now and typically you’ve offered – you know, you’ve offered press releases time here and time there highlighting some of the new deals that you’ve done, but I’d say over the past, I don't know, maybe the – just for the full year of 2018, there's been very little news flow regarding some of the new institutions you may have or the new deals that you may have won or the new institutions that you've worked with. And you mentioned CVS, I appreciate that. I'm just wondering if there's any more detail you can speak to for a customer level on the – you know, on the 80%, sorry the $80 million in software versus the $204 million in services? Can you give us some of your largest customers, and the growth that you’ve seen or the growth that you're not seeing vis-a-vis the one in Africa that seems to have disappeared?
Guy Bernstein: So, you know, the reason for us not, you know, putting more press releases regarding these and just because in most cases the size of the deal are rather small compared to the overall revenues. So, you know, its all-in-all, the company is doing across the $300 million and we report – we don’t see problem reporting these. So, I don’t know, usually the give, let’s say probably between $100,000 and $200,000 and we have a lot of them. So, in the past, we published some of them. It’s – you know, the market did not respond to that because at the end we are – the company is built out of many, many rather small deals and this is the reason why we don’t publish them. All-in-all, CVS is by far the largest as customer has mentioned. We have few more customers, not of this size, not significant to the business. But again, you know, we are growing with all of them, but I don’t see any point [Indiscernible] insurance companies and the usual suspects in the business. For 2019, you know, the company is doing good. We continue with the growth; we continue with improving the profits, so we feel quite good about the overall.
Kevin Dede: Okay. I – alright. I understand guys. Just – I guess it’s just surprising to see from the outside that you haven’t, you know, tried to be, you know, I hate to say, but at least trying to let people know in a promotional way that you're making progress between each quarterly report.
Guy Bernstein: You know, Kevin, on top of the frustration I must say, you know, when you say that, you know, this company is delivering like for the past I think nine years. We deliver, you know, better results every year. True, there is – because we are built out of many, many small deals, there is a bit of the problem to provide indicators that we give more light to investors about the progress of the company. But all-in-all, when you look above the [Indiscernible] the record of this company, you know, I’m really proud that we don’t miss on this one. So, sure it’s a bit frustrating that I cannot give more indications that people will better understand the way forward.
Kevin Dede: Can – maybe Guy, it will be helpful if you could give us an indication of deal size overall and maybe how your relationship with Microsoft or SAP and HANA have influenced that? It seems though – I mean given over the years that I've been following you that – you know, it's been, for most of those years, mostly small deals, mostly customers are recurring, coming back and wanting more, you know, more services and help from you guys. I'm just wondering if some of the work that you've done in pushing to the cloud has altered the deal size at all. Have your relationships with these partners helped you to increase the size of deals?
Asaf Berenstin: So, all-in-all, the answer is, yes. We do get more business whether it’s from getting deals from Microsoft or getting more deal from SAP, definitely. I think, by ourselves, we are doing a lot of way better business than what we are getting from the partners. Unfortunately, it would be probably easier to get more deals from partners than, you know, to go and hunt them by ourselves. But all-in-all, the business is growing all the time, we’ve seen more deals. As I mentioned, the deals are rather – you know, based on the size of the company today, they are not big. So, we can take companies like CVS where we started with, I don’t know, close to 2 million a year few years ago and now we are like more than [40 million], which is a great example. I do expect to get more business from them. You know, as soon as they get over with all this [indiscernible] so we do expect to get more business over there. And we did the same without the customers we had. So, we are growing all the time; we invest a lot in customers relationships; and you know, we do see development of the business whether we file partly that we grow the dealer forever [250,000 or even 500,000] with a specific customer, I don’t think it will give an indication to investors, and this is part of the problem to convey the message.
Kevin Dede: Yes, I know we’ve talked about this a number of times Guy. It's equally frustrating for me because, you know, as I look across my coverage universe, I don't think I have other companies that have executed as cleanly as you have despite the – remember the [big rink on] in 2014 and 2015 with the Israeli shekel, U.S. dollar fluctuations. I mean you guys have done a great job, you really have. The all-states difference with AT&T and managed through that, you’ve managed through lots of things, and obviously, technology – the changes in technology across the board continue to accelerate, which is another difficult problem to manage. I don’t know, maybe you can think about it and get back to us more regularly on your interactions with partners, and maybe how fast your seeing leads, maybe you need to devote less time to your partners and maybe more time your own internal developments since activities will be doing better.
Guy Bernstein: We are doing that all the time. And yes, we’re very numbers oriented. It means that, you know, we go after the numbers whether we can get them from – through our partners or directly. The important part was – is to deliver the numbers that, you know, we promised.
Kevin Dede: Alright. So, give us a view – give us a view of the M&A pipeline. I know you've got one that you think is close. How else does the market look? Is it still pretty much as you've always seen it where, you know, firms are asking for multiples that you’re not comfortable paying? Do you think maybe it's time to change that perspective and consider looking at paying maybe a little bit more given that to Asaf's point, you’re going to try to grow your business 50-50 inorganic, organic?
Guy Bernstein: So, I must say that with the transaction I mentioned, I think we are paying a lot more than what we’re used to. It’s a technology company and therefore assuming with the progress within the – probably pay more than what we have regularly. We have at least one more transaction on the table that I think we will close, which is, you know, regular prices that we pay on one hand. On the other hand, I think we get some good management in place. And you know, all-in-all, we have – at any given moment we have quite a few potential acquisitions. I must say that for example, in 2018, we checked probably 12 companies and we closed what? None. So, it’s a bit frustrating because, you know, at the end – you know, when bankers present with the companies, it looks very good, and then, when you check it, it’s becoming less and less good. I think the best opportunities that we’re getting – we’re getting and through the business and through bankers, and the safest one, meaning, you know, we know what we are buying, we either compete with the guy or we corporate with the guy. And therefore, these are the best transactions that we are getting, but we are checking all of them.
Kevin Dede: Okay. Can you speak a little bit to that? I mean granted the service side of the business has been driving your growth really for the past couple of years now, and even though, I – it seems, at least from the outside, that you’re try to stay on the edge of the technology curve. Can you talk a little bit about technology development, internal resource use and how you might be able to carve a better niche for your technology business versus your – versus your service business?
Asaf Berenstin: So, I’ll answer [about it.]. Even when we talk about the service business, we always try to go into all kind of [Indiscernible] rather than the generic stuff because then the stickiness is much stronger with the customer and we don’t – we are not [drugged] into a price competition. So, this – you know, even in the services side, this is – these are the kind of services we are targeting. On the technology side, we try to improve all the time, we’re winning more technologies through our install base, and of course, through a new level, you know that it penetrates. This is the best way to penetrate. We tend to check even companies on the technology side. Unfortunately, you know, in most cases either they are too young or too expensive, and we don’t see they are valuing that. You know, even if you find something that is expensive, but we really think the value, of course, we will go for it.
Kevin Dede: Okay. Will – do you think Guy – do you think that you’ll – do you think you’ll mention a press release when you get these deals done?
Guy Bernstein: Yes.
Kevin Dede: Okay. Then would – do you think Mr. [Lavi] wouldn’t mind commenting on how he’s spending his money developing tech?
Guy Bernstein: Yes.
Kevin Dede: Just on development, what's your – where is your focus in development? Is it still mostly on cloud?
Yuval Lavi: Yes, it’s on the cloud concept, and again, doesn’t have to be on cloud on-premise, but the concept of – again, we’re enjoying as Asaf mentioned the backwind of the low-code. We see it now in the – in Japan where we have a big footprint the minute that we introduced a new – a new version related to the low-code and the angular development. Suddenly, you know, every door is being open to us and everybody is looking to meet us. So, yes, we are definitely on the focus of low-code, which again, five years ago, 10 years ago considered to be a negative word. Suddenly for us – good for us it’s becoming very positive word [indiscernible]. And we’re focusing definitely on the work development and mobile development either on-premise deployment or cloud deployment.
Kevin Dede: Okay, alright. Well, thanks for entertaining all my questions gentleman. Congratulations on the good year. I look forward to speaking to you again soon.
Guy Bernstein: Thank you.
Operator: Then next question is from Ethan Etzioni of Etzioni Portfolio Management. Please go ahead.
Ethan Etzioni: Yes, thank you for taking my questions. I wanted to ask – now that an increasing portion of the – of the revenues are coming from software or technology, first I wanted to ask, in the second half, I see that there is a decline in the gross margin. So, that’s a little bit surprising because I would expect the technology to be higher margin. Can you please explain that?
Yuval Lavi: Yes, as we discussed on the call, basically the growth that we experienced from the service side of the business, which was around 13% versus the growth that we think that we saw on the software side of the business, which was around 4% to 5% causes the – from the mix of our activity to decline our margin – the gross margin. In addition, during the last year, CVS, which again, as we said, accounts for 13% of our revenues, introduced rebate model where as we grow the size of business that we generate from them, then we apply a rebate over our revenues, which now reaches the level of around 10%. If you look a couple of years back, we were like – two to three years back, we were at the level of 5%, went up. Last year, we were at the level of 9%. So, the fact that we are growing with the revenues also pushes us to significantly expand our business with the customer otherwise it takes off from our margins there. So, gross profit in absolute numbers are always growing, but margins are declining mainly from the mix. As Guy also mentioned, we are trying to focus more and more in niche professional service project, the landscape, the spectrum of our gross profit that we generate from different types of project, high end and low end range from 15% on the low-end side of the gross profit to 27% to 30% on average on the high-end gross profit. You know from the Israeli market that gross profit for a system integrator range between 16% and 18%. So, we really try, despite the fact that 40% of our business is coming from Israel. We still manage to find niche capabilities that we can provide to our customers that still provide us with a higher margin than somebody gets from the Israeli market, for example.
Ethan Etzioni: Just to make sure I have the numbers right, what’s the comparison to the [18 million] this year? What was that in 2017?
Yuval Lavi: The split in 2017 was 30% out of the 254 million that we sold for software and 70% for professional services. This year, we are 28% total on software and 72 on professional services. So, the professional service side of the business is growing higher than the software side. Both of them are going, but professional services is going higher.
Ethan Etzioni: So, looking forward at the profitability, so gross margin seems to be a little under pressure. On the other hand, I see you keep operating cost at base of overall subsequent factors of [indiscernible]?
Yuval Lavi: I think that is for the company and the costs, let's say, fulfillment of the business, I think that between something in the range of 31.5 to 32.5, that would be our current level of gross margin. On the higher end, [indiscernible] let’s say, on this range.
Ethan Etzioni: GAAP or non-GAAP?
Yuval Lavi: Non-GAAP.
Ethan Etzioni: And what was that in GAAP terms?
Yuval Lavi: It could be around 2% less than that.
Ethan Etzioni: So, 29.5 to 30.5?
Yuval Lavi: Yes, something around that.
Ethan Etzioni: Right. And assuming you are – and you expect operating cost to stay around the same in the – going forward?
Yuval Lavi: Yes. Percentage wise, yes.
Ethan Etzioni: So, overall operating margin looks – in 2019 should be pretty similar to 2018.
Yuval Lavi: Exactly. I think that you can see that over the last kind of four five years you can see that the company pretty much maintaining its operating level at around 14% to 15%. We took a notch down the 15, but currently we are for the last few years maintaining our 14% operating margin level.
Ethan Etzioni: Again, and that’s non-GAAP, right?
Yuval Lavi: Non-GAAP. The way that we see the business on a non-GAAP basis, the motivation that we do on intangible assets related to the acquisitions that we doing or a motivation of software development that we do, we will exclude that.
Ethan Etzioni: Alright, I understand. Okay. And one last question please about the capital raising. I mean, you are generating free cash flow and my question is do you expect the need to come to the market again with those share issuances or do you think …?
Guy Bernstein: Not at the moment. You know we see a lot of cash and maybe also we deploy [indiscernible] work. So, at the moment nothing.
Ethan Etzioni: Okay. Thank you.
Operator: [Operator Instructions] There are no further questions at this time. Mr. Bernstein, would you like to make your concluding statement.
Guy Bernstein: Yes. So, thank you all for joining us for another good year, and I have to bring you some more good news in the near future. Thank you.
Operator: Thank you. This concludes the Magic Software Enterprises Ltd. fourth quarter 2019 results conference call. Thank you for your participation. You may go ahead and disconnect.